Operator: Ladies and gentlemen, thank you for standing by and good evening. Thank you for joining Sohu's Third Quarter 2016 Earnings Conference Call. At this time all participants are in a listen-only mode. After management's prepared remarks there will be a Q&A session. Today's conference call is being recorded. If you have any objections, you may disconnect at this time. I would now like to turn the conference over to your host for today's conference call, Mr. Eric Yuan, Investor Relations Director of Sohu. Please go ahead, sir.
Eric Yuan: Thanks, operator. Thank you for joining us today to discuss Sohu's third quarter 2016 results. On the call are Chairman and the CEO, Dr. Charles Zhang; Acting CFO Joanna Lv, also with us from Changyou CEO Dewen Chan; CFO, Jasmine Zhou; Xiaochuan Wang; CEO of Sogou is also on the call. Before management begins their prepared remarks, I would like to remind you of the company's Safe Harbor statement in connection with today's conference call. Except for the historical information contained herein, the matters discussed in this conference call are forward-looking statements. These statements are based on current plans, estimates and projections and therefore you should not place undue reliance on them. Forward-looking statements involve inherent risks and uncertainties. We caution you that a number of important factors could cause actual results to differ materially from those contained in any forward-looking statements. For more information about the potential risks and uncertainties, please refer to the company's filings with the Securities and Exchange Commission, including its registration statement and most recent Annual Report on Form 10-K. With that, I will now turn the call over to Dr. Charles Zhang. Charles, please proceed.
Charles Zhang: Thank you, Eric and thanks to everyone for joining our call. In the third quarter, the group total revenues reached our prior guidance amid challenging operating climate that mainly affected our online advertising businesses. By business unit, for Sohu Media Portal, we strived to bring users high quality and enriched content while continued to optimize Sohu News App design. Sohu Video accelerated investment in self-developed content that would benefit our subscription business and help improve the cost structure. For Sogou, it continued to enhance its vertical search capability while the mobile search traffic maintained strong momentum. Changyou delivered better-than-expected results as its existing games performed steadily while the development of new mobile games was well on track. Before I give more details about our key businesses, let me summarize our financial results for the third quarter of 2016. Total revenues $411 million, down 21% year-over-year and 2% quarter-over-quarter. These results have been negatively affected by the RMB depreciation. On a constant currency basis, total revenues in the third quarter of 2016 would have been $26 million higher or down 16% year-over-year. Net brand advertising revenues are $111 million, down 27% year-over-year and 2% quarter-over-quarter or down 22% year-over-year on a constant currency basis. Of this revenues from the Sohu Media Portal were $48 million, and Sohu Video revenues were $25 million. Sogou revenues were $166 million, up 2% year-over-year and down 6% quarter-over-quarter. Online game revenues $99 million, down 45% year-over-year and largely flat quarter-over-quarter. Non-GAAP net loss attributable to Sohu.com Inc. was $65 million, or a loss of $1.68 per fully-diluted share. Now I'll go through some of the key businesses. First, the Media business. For Sohu portal, in the third quarter we continued our efforts to improve content quality and refine our mobile news product. On the content side, we regrouped our inhouse editorial team, breaking it into dozens of smaller teams across various topics. With a smaller size, each team can act more quickly to follow news stories, making it easier to generate better quality content. In the meantime, we actively signed up an increasing number of well known third party authors who contributed articles covering a large variety of hot topics. For our key media platform Sohu News App, we launched a new version in late September. Our primary emphasis with it was to optimize the user interface and enhance user engagement. Now when users repeatedly come back to Sohu News App, during the day from the second time they would get access to recommended news stream directly, while previously the editorial news stream was always displayed on the front – on the top of the home page. Recommended news stream is the personalized content generated by our machine and algorithms. The trend impressed our users who spend more time and read more articles in the app. On the monetization side, similar to the first half of 2016, ad spending by large brand advertisers remained soft due to macro-economic situation. However demand from SME customers were healthy. Revenues from SME customers rose 33% from year ago, accounting for one quarter of our total revenue. Now moving to Sohu Video. In the third quarter we continued to concentrate our efforts on expanding our content library. At the same time we have been actively exploring different ways to diversify our revenue source beyond the traditional advertising. We saw some encouraging progress on both fronts. On the content side we've been efficiently executing on the two-pronged strategy of securing a fair share of premium licensed content and at the same time investing heavily in self-developed dramas. For the licensed content, in the third quarter among the top 10 TV dramas, the Sohu Video broadcast seven out of the ten – top 10 TV dramas including, Ice Fantasy Huànchéng, Sparrow [Chinese] and A Love for Separation [Chinese]. We also launched a number of popular American TV dramas, including the new season of The Big Bang Theory [Chinese] on the exclusive visits. We expect to sign more premium titles in the next few quarters. We are pleased, at the same time that we rolled out a solid line of self-produced – self developed dramas in the third quarter. Three of them, namely, My Little Princess [Chinese], Campus Beauty [Chinese], and Men With Sword [Chinese], collectively generated over 1 billion video views on our platform. For the current quarter, few more high profile series are in our pipeline. We just launched a crime drama called Medical Examiner Dr. Qin [Chinese] which has become an instant hit show. For Sohu video, the total number of self-developed dramas in 2016 is expected to reach 17, more than double the total last year. We're encouraged to see that the high quality and exclusive original content began to contribute to the growth of our subscription business. During the third quarter both the number of paying users and subscription business revenues rose more than 60% from a year ago. While the absolute size is still modest, we see significant growth potential. To continue the momentum we plan to make more dramas available exclusively on our paid channel in 2017. In terms of performance of video advertising, we experienced a tough quarter as the progress on the restructuring of our sales team was slower than expected. However with the continued strengthening portfolio of content and the completion of transition, we expect to see a recovery in video advertising sales in 2017. In addition, leveraging the experience we gained from Sohu Media, we have been developing news -- new app format that target SME advertisers who are more resilient in slowing economy on to the Sohu video platform. To conclude, Sohu remains committed to securing a leading position in the online video industry. For the year ahead we plan to launch more high quality self-developed dramas and expect that the category will take an increasing share of our overall library of content. Since the return on investment of self-developed content has been proven true to be superior to licensed content, the cost structure of Sohu Video will gradually improve. Backed by our consistent and a strong track record in original content production over the past few years, we are confident that this approach will enable us to quickly ramp up our subscription-based business which will become a key driver of growth for us over the long term. Next moving to Sogou. In the third quarter, Sogou continued to expand the user base of its two key mobile products: Sogou search app and the Sogou mobile keyboard. In the coming months we will launch a national wide marketing campaign to enhance Sogou brand recognition. Xiaochuan will update you on more details after my remarks. Lastly, Changyou. In the third quarter, our flagship TLBB PC game performed quite well with revenue increasing for the quarter. The game that continued to generate healthy cash flow in its nine years of operation demonstrated that the popularity among core games – its popularity among core games. On a mobile front – game front, we have two primary MMORPG games under development: Legacy TLBB and the Xuan Yuan Jian Online. The development of both are progressing well. We are conducting some fine tuning work for Legacy TLBB which is expected to hit the market in early 2017. Xuan Yuan Jian is also scheduled to launch in the mid of 2017. Now I’ll pass the call over to Wang Xiaochuan for an overview of the Sogou business.
Xiaochuan Wang: [Foreign Language] Thank you, Charles. In the third quarter Sogou continued its efforts in product differentiation and technology innovation. Traffic share and revenue were trending higher. Mobile search traffic more than doubled from a year ago approaching three-fourths of total traffic. The user base of Sogou mobile keyboard expanded decently as the mobile app maintained its number three position in China in terms of daily active users. Financially, in RMB terms total revenues reached RMB 1.11 billion, up 9% year on year. Over the past quarter, we further enhanced the search capabilities for Sogou Wise Doctor. We optimized the presentation of questions and answers to help users more quickly, get valuable information. Traffic on Sogou Wise Doctor ramped up 150% from the level right after launch in May. Sogou English search added a new Chinese to English translation feature that users can type Chinese in search box while getting English results directly. About 20% of our users are using this feature for English content. We also saw encouraging progress in artificial intelligence. In particular with voice technology as a number one mobile app for voice input in China, Sogou mobile keyboard is on a higher level of accuracy for voice recognition. The usage of voice input grew robustly as daily voice input increased over 100% from a year ago to 119 million times. In addition, Sogou also demonstrated its industry leading technologies for real time speech to text conversion. During a live broadcasting event we have applied this technology to a nearly 20 minute speech and generated the transcript at a remarkable level of accuracy with minimal delay. Brand building has been another important task for Sogou in the second half of 2016. In September, a documentary called Smart China produced by Discovery Channel premiered on over at 20 domestic TV channels and major popular video platform. The documentary featured Sogou search products and technologies and highlights the unique capabilities of the Sogou search app. Our technology featured in the show has received a broad and positive response. For the fourth quarter we will conduct a major marking campaign for the Sogou brand to elevate our market position. Lastly, in terms of financial performance, Sogou’s quarterly revenues reached $166 million, up 2% year on year within the range of our prior guidance. Since September newly revised online ad regulatory rules that introduced [ph] has further tightened scrutiny of advertiser qualification and imposed other restrictions. The revenue growth, thus, was negatively impacted. On a constant currency basis, total revenues were RMB 1.11 billion, up 9%, still outpacing the industry. Mobile search revenue contributed 58% of total search revenues, up from 30% a year ago. Non-GAAP net income was $20.3 million compared with $34.4 million a year ago. I would now like to turn the call over to our acting CFO Joanna who will walk you through the group’s financial results.
Joanna Lv: Thank you, Xiaochuan. I will walk you through the key financials for the third quarter. The profit and loss numbers mentioned below are all on a non-GAAP basis. For our brand ad business, in the third quarter net brand advertising revenues were $111 million, down 27% year over year and 2% quarter over quarter. Of this, Sohu Media Portal revenues were $48 million, down 6% year over year. Sohu Media posted a net loss of $6 million compared with a net profit of $7 million in the same quarter last year. Sohu Video ad revenues were $25 million, down 54% year over year. Sohu Video posted a net loss of $86 million compared with a net loss of $15 million in the same quarter last year, which included $23 million profit from the movie Cindy Ma'am [ph]. For Sogou, total revenues in the third quarter were $166 million, up 2% year over year and down 6% quarter over quarter. Of this, search related revenues were $151 million, up 2% year over year and down 6% quarter over quarter. Sogou posted net income of $20 million compared with net income of $34 million in the same quarter last year. For Changyou, for the third quarter total revenues, including 17173, were $136 million, down 28% year over year and up 5% quarter over quarter. Changyou posted net income of $46 million compared with net income of $78 million in the third quarter last year. For the fourth quarter of 2016 total revenues to be between $378 million and $400 million; brand advertising revenue to be between $95 million and $105 million. This implies an annual decrease of 25% to 33% and a sequential decrease of 5% to 14%. Sohu Media Portal revenues to be between $42 million and $45 million. Sohu video revenues to be between $25 million and $28 million. Sogou revenues to be between $155 million and $165 million. This implies annual and a sequential decrease of 1% to 7%. Online game revenues to be between $85 million and $95 million. This implies an annual decrease of 25% to 33% and a sequential decrease of 4% to 14%. Before deducting the share of non-GAAP net income pertaining to non-controlling interest, non-GAAP net loss to be between $75 million and $85 million. Assuming no new grants of share-based awards and that the market price of our shares is unchanged, we estimate that the compensation expense relating to share based awards will be around $12 million. Considering the impact of these share-based awards, GAAP net loss before non-controlling interest, to be $87 million and $97 million. Non-GAAP net loss attributable to Sohu.com Inc., to be between $85 million and $95 million. And the non-GAAP loss per fully diluted share to be between $2.20 and $2.45. Considering the impact of aforementioned share based awards, and the netting of around 5 million of Sohu’s economic interests in Changyou and Sogou, GAAP net loss attributable to Sohu.com Inc., to be $92 million and $102 million. And the GAAP loss per fully diluted share to be between $2.38 and the $2.63. For the fourth quarter 2016 guidance, the company has adopted a presumed exchange rate of RMB 6.7 to $1 as compared with the actual exchange rate of around RMB 6.39 to $1 for the fourth quarter of 2015, and RMB 6.66 to $1 for the third quarter of 2016. This concludes our prepared remarks. Operator, we would now like to open the call to questions.
Operator: [Operator Instructions] Your first question comes from the line of Eddie Leung of Merrill Lynch.
Eddie Leung : Good evening. Just two questions about your media business. The first one is about video content cost. I'm just wondering if there has been any update on the video content cost outlook as we approach 2017? So that's my first question. And then secondly, about mobile news app. Could you give us an idea of how important mobile news app in terms of traffic and revenues for your media portal business? Thanks.
Charles Zhang: Yes, this is Charles. I think the video content cost, we're actually in a transition, we’ve been this premium head count, we've been buying over the last few years especially, we will continue to on to 2017. But as our success in the self-developed content, really emerge and also the return on investment is actually better. It's much less expensive and also to drive our subscription business we should look at 2018 that we cut back on our headcount and purchase. So on 2017 it will be the headcount and purchase, the video premium TV trial miles are similar to 2016. Is that right? Yes. So we're in a transition so. And so by 2018 we will be able to – like in 2016, we have generated 16 self-developed dramas and also actually firework hit shows, but that numbers will double by 2017, so by 2018, most of the traffic will be driven by our self-developed content so we can cut back on the headcount and purchase. On the second question about mobile new traffic, it’s directly related to our advertising business, especially for our SMEs. So with more traffic you'll be more imagery to sell. And actually the mobile app, we have a Sohu app portal, we have a PC base, but the mobile app is one of the key advocation and lot of that will be the main devices for app or people to get information. So also the advertising percentage is pretty good. So 50% of the revenue coming from the mobile news app. Next question?
Operator: Your next question comes from the line of Evan Zhou of Credit Suisse.
Evan Zhou : Two questions. First one is search. Maybe I noticed that our mobile traffic actually has been going pretty decent, I think this quarter also more than doubling. I think if I remember correctly last quarter was 80-ish percent, first quarter is more than double as well. So do we actually see like a rebound of mobile search traffic with our new lines of features or other apps, so wondering if you see any kind of revival of the revenue on the back of that. If we look at the guidance I think it's relatively soft. So wondering if you can provide some more colors on the search revenue outlook maybe into the following quarters and how is the budget competition with other search products or other new app product on search. So that will be the first question. Second question is regarding the brand ad. Specifically I think maybe Charles whether you can share with us the source on the format of short video versus each additional display or banner ad on mobile or the long from video on mobile, so how do we think about this new format emerging in some of the start-ups and some other products as well and what's our product that reaction to position towards trend?
Xiaochuan Wang: [Foreign Language] In terms of the mobile traffic growth in the third quarter I think, for one it’s back on our new features as we launch the recently – we enhance our some unique capabilities. Secondly, Q3 is right in the summer holidays, so it should be a big season. For the revenue outlook I think Q3 our revenues was impacted by the online aggregation and we think its impacts will continue for the coming quarters and we don't think our revenue will be revived quickly. We will maintain our own gross revenue. As for the new seat ad, I think it has more or less impact on search advertising, but given our robust growth in traffic and our continued solid growth on mobile monetization, we think it’s impact on impact.
Evan Zhou : [Foreign Language]
Charles Zhang: All right. Yes, I got it. I think we've been – we call it at Sohu, called the PGC, that’s professionally produced content, the video and we've been doing that for the last few years and now you are only about 15% of our traffic coming from PGC, right, bulb. So it’s actually growing my play and covering multiple areas like when -- we have twenty -- about twenty five categories of knowledge based short clips. Cut in your wagon of information knowledge based short clips. It’s actually short clips, it’s not that short. It's -- some are ten minutes, twenty minutes and produced by opening the first studio small studios. And it’s in our video app at the same hand because it's also a product, actually also show up the news app and this part of the video it's really model, in fact it's a with a low card because we don’t it. So that’s basically your YouTube model. You do nightly, there is new and there's new more on recent video related the really the you know the live broadcast, it’s even harder. So it's so important part of our video transition. The video has been transitioning content from the TV dramas and showing in the major TV stations and all these video companies are operating their platform like a TV station and then actually buying the phenomenon, not the quality of the content, because [Foreign Language] Actually it’s the phenomenon, we talked of the home and we’re buying and paying over-priced, paying too much, too expensive. So that will transition, deals the budget for that part and to help you to produce the content the TV dramas and at the same time we also see the growth of this third party production of small short clips. It’s the important part of our business which – cost structure is pretty good. Because it enjoys the similar preload advertising. Normally we put a 12 to 15 TV commercials, I mean preload advertising in front of a TV dramas or self produced content, like the dramas or the stories. But we put only two 15 segments, preload advertising, advertisers in front of PBC content, one short clip.
Operator: Your next question comes from the line of Juan Lin of 86Research.
Juan Lin : My first question is do they get you also the – you’re currently getting their popular recommended feed. This product has drawn attention while also readme [ph] from Baidu and from Alibaba, Baidu’s home page of YouTube ad, and UG also just announced a similar strategy. I am wondering in addition to our news app, whether Sogou is also planning to launch a similar product by inviting more news feed and providing recommended news feed to users. This is the first question. Second question is related to our mobile progress. Could you remind us about the mobile revenue contribution –mobile revenue and traffic contribution for video and also mobile revenue contribution for Sohu media portal? Thank you.
Charles Zhang: So your first question is news application, the recommended stream are so popular. Is Sogou also launching some news feed, is that your question?
Juan Lin : Yes, whether the news feed is going to be commercialized and whether Sogou will invite more feed content and provide a feed recommended and more importantly, whether commercial product will be launched within the feed inside Sogou?
Xiaochuan Wang: [Foreign Language] We are actually having some try our news feed ad and as you know which basically from the perspective our technology rationalized is very close to a search but our focus remains on search ads. Our search ad is one of the best ad formats in terms of ROI.
Charles Zhang: Yeah it's actually when users open up a search application, sometimes they look for something knowledge or some kind of information. When they open up a news app, they want to browse and know what's going on in the world, it's a different intention. So that's why – Regarding the recommended stream of news it’s basically winning the group, Sogou group, that Sohu news application – the main application for this need – multi-needs. So in terms of the revenue division, right? Video and for mobile. The traffic or advertising – or revenue. So video, right? Video business.
Juan Lin : Search and the Sohu Media Portal?
Charles Zhang: Well you are asking about everything. So I think for video we have – so about, probably half or 60% are from mobile. Yes, 60% and 70% are from mobile, the video because a lot of people still prefer the big screen of PC, the comfort of PC and the laptop – I mean laptop or iPad. Well for new content, it’s hard to say because it has a different metric for mattering. For the mobile app we're talking about the exposure view, like the items of exposure, stories, item of stories, number of items, the number of stories, stories exposure, EEB. Well for PC we're talking about page views and for the mobile portal we're also talking about – it’s kind of the unique visitors. We don't -- but we believe that in the future I think for video you probably will continue to have about 30% or 40% of people still accessing the video content through PC and other larger screens because it's a necessity. But for content for the text based or news content, I think mobile phone will be probably the application scenario. I think a lot of people will use PC.
Juan Lin : Thanks, Charles. And about the revenue contributed from mobile, could we share some of the number for video and also for the Sohu Media Portal?
Charles Zhang: [Foreign Language] So for the media portal it’s 60% mobile now. Mobile means the Sohu News Application, app, and also the WAP portal, consists of 60% of the revenue from the media portal side. So for video we don’t, we don’t separate. Probably 60%, yes.
Operator: Your next question comes from the line of Alicia Yap of Citigroup.
Alicia Yap : Hi, good morning Charles and management team. Thanks for taking my questions. I have follow up questions on the advertising law, so regarding the search business. So maybe can you quantify a little bit, wanted to get what would be the impact, specifically how has that affected the medical customer ad revenue for the third quarter and how much will that impact for the fourth quarter? So assuming if the law did not implement in September or what would be the normal search revenue, any color you could share would be appreciated. Thanks.
Unidentified Company Representative: First of all, health care sector felt most from ad law, it used to be number three revenue contributor in Q2 but now it dropped to number four. Since the online ad regulation went into effect on September 1, so that only hurt one month of revenue for Q3. But for Q4 it will impact the full quarter, so we would expect Q4 revenue to be slightly lower than Q3.
Alicia Yap : Can I follow up on this is that other than the medical customer, can we assume other vertical customers are not impacted?
Unidentified Company Representative: Others are more or less impacted as we are, but definitely health care felt most of the pressure.
Operator: Your next question comes from the line of Natalie Wu of CICC.
Natalie Wu : Hi good evening management. Thanks for taking my question. So my question is regarding the cash balance of $1.36 billion as of the end of this quarter. So how much cash is there on Sogou’s balance sheet and also regarding the content budgets for BIDU, how much will be paid in the twelve months in the purchase of quality content? And also we know that online BIDU is one of the most cash spending business in China and the situation might be even heated after IT spend to invest – 10 billion in content next year. So just wondering what’s the next step, also who would 1 billion – have been spent? Thank you.
Charles Zhang: So Xiaochuan, $1.36 billion, how much cash was on the balance sheet of Sogou? A little bit about – over $200 million on Sogou’s balance sheet, the rest of them are in either Sohu or Changyou. Paint content – for the premium TV dramas, I think I just said we will just spend similarly in 2017, similar to 2016. But instead of like some of our competitors are going crazy for those crazy expensive – those TV content, we will probably cut back in 2018, as our success in this self developed content. As I said it's actually not worth the price, the quality of those TV dramas is not worth the money. So –
Natalie Wu : Do you think Sohu will achieve breakeven at that point?
Charles Zhang: Not at that point but I think if you look at the 2018 I think loss of the Sohu video, cash burn on lots of Sohu video situation will improve. Because by then we should have a majority of our content will be the Internet company invested content instead of those TV – the big TV stations content. And for this interest invested, its return on investment is much better, the cost structure is better, and also it’s exclusive so that it drives users to our platform more efficiently and also our subscription business will take off, as demonstrated by, we already grew 6% this year although it's a very low level but it's going to grow more – much rapidly with our success of our self developed content. So basically we're moving transition from a massive competitive TV broadcasting traditional model into actually a Cable, HBO or say, Netflix model. Only with this kind of transition the video business can turn into a more better cost structure and a business model, otherwise it just will continue to be a black hole for cash.
Operator: [Operator Instructions] The next question comes from the line of Hillman Chan of Macquarie.
Hillman Chan : Just a follow-up question on the self-developed original content. So I understand that we are focusing more on this one, given that they're more cost effective, and more profitable. I think the video industry is seeing the same. So I think we're also seeing pricing completion in the original self-produced content as well. So how do we go about sourcing them in a cost effective manner? So that's my first question. And also quickly, I think I'll let you know in a self-produced content are driving membership subscription as well. So could you talk about some of the number of subscriptions and also new contribution or any color would be helpful? Thank you.
Charles Zhang: Your first question there was one word I didn't get it. You said that self developed content, the cost structure is better, but the competitors are also looking at, is that your question?
Hillman Chan : Yes, Also investing in some of these produced – self produced content like the dramas but then we're also facing competition.
Charles Zhang : Yeah. It's a – the good thing that for the premium content you buy for the TV stations and it's really you’re competing on -- whether you have deep pockets, because those are very expensive and those TV stations they don't care. They just only use the big star and thinking that getting their ratings high, so it’s really stayed on TV stations, not that really – but for this self developed content, you actually choose the best IP and you choose the team and it’s the artistic creative process. Here you don't compete from -- you don't compete with your – or how deep your pocket is or how much money you have, it's actually -- the great products or content are really done with a relatively lower budget. Actually in the history of entertainment, just look at Godfather and all those who come between all these classic movies. It actually doesn't cost a lot of money. It’s really the artistic creation process. So in terms of competition on this self developed content, Sohu has such a tradition and a culture and the team to produce quality content like we did, even before this uptick, we already had [indiscernible] those great productions that win a lot of praise – won a lot of praises from industry and like the recent success of [Chinese] is already ranked number one and also we’re number one on all the rankings. And also Sohu is a company that we value honesty and integrity, the number one principle. So that all our numbers we publish are all real numbers. A lot of our competitors just inflate their video view numbers and they tell the industry that hey, you look at the [Chinese], everyone is watching [Chinese] right now. And we've got just generated 100 million video views in a matter of only like two weeks and this is a real number. And if you say other written a number 10, number twenty, video you claim you have 500 million video views it's just false. It's just you played a number. So I think in terms of competition for producing good content, this is our core competence and our competitive advantage. It’s not our how much cash we have but really the team and the culture and the track record for producing good content. And also secondly – definitely we will drive membership, and as it did in the last two months with our success of [Tian Long Ba Bu] it’s already driving the user subscriptions and we will continue. We started a low base because we didn't get into that -- and we didn't because a year ago a lot of our competitors are doing a lot of manpower, we don't think manpower is the way to go. And we didn't develop a subscription, we didn't fix as our core business but for this year with the kind of episode, like 12 episode TV dramas, the network dramas, as our core strategy and we start to drive subscription base by seasonally weekly updates on seasonal dramas. And it’s already grown 60% compared with last year. And we hope that when we double our amount of production, we have ‘16 and only about 5 or 7, really this kind of top TV dramas and we’ve produced more than probably 12, plus others, some comedies like some of those things produced by [Bob Herman] and others, will probably will have doubled overall to like thirty productions next year.
Operator: There are no further questions at this time. Ladies and gentlemen that does conclude your conference for today. Thank you for participating and you may all disconnect.